Operator: Good day ladies and gentlemen and welcome to the Atlantic Tele-Network 's fourth-quarter and full-year 2013 earnings conference call. (Operator Instructions) As a reminder, this call is being recorded. I would now like to introduce your host for today's conference, Justin Benincasa, Chief Financial Officer. Please go ahead, sir.
Justin Benincasa: Great thank you, Danielle. Good morning, everyone, thank you for joining us on our call to review our fourth-quarter and full-year 2013 results. With me here is Michael Prior, ATN's Co-President and Chief Executive Officer. During the call I will be covering the relevant financial information and certain operational data and Michael will be providing an update on the business. Before I turn the call over to Michael for his comments I would like to point out that this call and our press release contain forward-looking statements concerning our current expectations, objectives, and underlying assumptions regarding our future operating results. And are subject to risks and uncertainties that could cause actual results to differ materially from those described. Also, in an effort to provide useful information to investors, are comments today include non-GAAP financial measures. For details on these measures and reconciliation to comparable GAAP measures and for further information regarding the factors that may affect our future operating results, please refer to our earnings release on our website at ATNI.com or the 8-K filing provided to the SEC. And with that, I'll turn the call over to Michael for his comments on the quarter.
Michael Prior: Thank you, Justin. Good morning, everyone. I'll start with some highlights for the quarter and the year. I think it is fair to term the operating results for both periods strong and consistent. Quarter-after-quarter our continuing operations saw steady revenue growth and consistent and healthy margins. While we always believe that there's a long list of potential areas to improve in our operating performance, and the present time is no exception to that, there is a good deal to be proud of in the year. Our remaining US wireless operations are performing well, and our Island Wireless operations showed a strong improvement in results led by Bermuda. Strategically, the year of course had an excellent milestone as we exited our US retail wireless business generating strong returns for investors. It was the right time to do so and it has positioned us with the capacity to make significant investments in new areas of potential growth. And I will give some color later on as to what we're seeing out there. Before that, let's turn to some specifics for the fourth-quarter, starting with US wireless. So, US wireless, which is of course is now largely composed of wholesale roaming revenue, showed solid revenue growth in 2013, particularly when you factor in the sale of the Midwestern network in late 2012. This time last year I recall saying that we would increase our investment in this business and thought we would see a rekindling of some growth and I'm glad to be able to say a year later that the growth did occur. Beyond even our expectations at the time. The drivers of the growth were a combination of expanding base stations and cell-sites in service, and growth in data roaming volumes, which more than offset declining voice volumes. The growth in data volumes was due to a combination of upgrading our capacities and data speeds at many of our cell sites and the general industry trend of higher usage per customer per device. So, to give you some specifics on that, megabytes billed expanded by about 67% while voice minutes declined by 28%. For 2014 we expect to continue to see expanding data volumes although not at the same rate as 2013 and declining voice volume. Overall traffic should also be boosted again by our plan to build a significant number of new base stations as we expand coverage in a number of areas. We also expect to allocate a sizable piece of our 2014 capital expenditures to additional technology and capacity upgrades in this network. And Justin is going to give you a little more specifics on the CapEx forecast for 2014 shortly. Offsetting those factors are expected declines in the rates we receive from carriers per megabyte. But net-net we still expect to see continued growth in US wireless revenues for the full-year 2014, although at a somewhat slower pace than those revenues grew in 2013 after taking into account the Midwest sale. Moving on to international wireless, revenues here also showed solid gains and improved operating margins in most of our island markets. While overall subscriber numbers declined slightly internationally, this obscures a much healthier story with the decline largely coming in the lowest value segments and healthy growth occurring in a number of markets and a number of higher value segments. The improvement in operating margins is mainly due to achieving economies of scale in many individual markets like Bermuda. Continued growth in this area however will likely require taking more market share and driving mobile data growth in some of the less developed markets. Moving onto wireline, as reported, total wireline revenue remained flat with really the same trends as we've seen in recent quarters. Just to recap those, US wholesale wireline revenues, such as carrier backhaul, showed solid growth and we expect this to continue as we add customers to our recently completed and ongoing fiber builds in northern New England and New York state. Unfortunately, on the other side of the coin our legacy domestic retail wireline revenues are under pressure and margins are falling rapidly with commoditization of much of the enterprise segment. Internationally, we experienced continued growth in data revenues while declines in voice, including long-distance calling, largely offset that growth. This is the same situation as I say we've faced for the last few years so there's not much new here to get into more detail. Moving onto strategic investments, as I'd promised earlier, I'd say a few words about putting our balance sheet to work. At our size the over $400 million of cash we have sitting on the and unlevered balance sheet clearly is an important consideration for investors. How and when we deploy our balance sheet capacity will figure prominently in our company's longer-term growth prospects and stockholder returns. While as a policy matter we do not comment on rumors or specific investment we are considering, I can say that we are active in the market for new opportunities and have been particularly active for many months now. We've gotten close to some investments from the very large to much smaller, but we have not found something yet that we can close on. And the main reason for this is price expectations or other issues that have arisen and caused an investment to fall outside our parameters. In some cases we concluded that we just could not get a good enough handle on the risks and rewards involved. We just didn't know enough. In terms of our process and our targets, we are being proactive and looking at certain sectors in companies rather than sitting back and waiting for the assets auctioned by bankers. That has its pros and cons, as you can waste time with unsophisticated transaction teams, but it helps inform our process overall and could help us find something better suited to our interests. We are most interested in opportunities that have potential for long-term growth without putting us into symmetrical competition with the tier one operators. We are patient investors and we do like infrastructure and we're willing to venture into areas that are not seen by the broader market as timely, today. I know a likely response to that, that was a bit vague but I am trying to anticipate your questions by showing the level of detail we are willing to get into at this time. So, in summary, for ATN overall this is another strong quarter, and more to the point, an excellent year. I'm very proud of the work our team has done. They've produced an excellent result out of a tough, long-term strategic situation with the sale of Alltel, and despite that transformational sale kept their eyes on operating our existing businesses and finding new ways to deliver value to stockholders. And, as I said we're exploring interesting opportunities to deploy our resources in other areas that have the potential to add significant value. So, with that I'll turn the call back over to Justin.
Justin Benincasa: Great, thank you, Michael. As Michael noted, our US wireless operations finished the year with another strong quarter of revenue growth. Adjusting for the sale of the Midwest assets that occurred at the end of 2012, that segment increased revenues by a very respectable 18% increase over last year. For the total company, revenues were up 9% to $76.5 million in the quarter. And as we noted in our press release we're still finalizing our review of our international telephony segment, and as such, labeled our results as preliminary. International wireless revenues represented or presented in the fourth quarter, I should say, from the international segment, did benefit by $1.8 million from previously unrecorded revenues related to earlier periods in 2013. Adjusted EBITDA for the quarter increased 14% to $28.6 million and our adjusted EBITDA margin was 37%. Moving down the income statement, this quarter's operating income from continuing operations was $16.3 million, down from the same quarter in 2012. However 2012 included both gains – a gain on sale and impairment charge which if netted out would show operating income of 27% in this year's fourth quarter. Operating expenses also included $907,000 of non-cash stock-based compensation expense. Income from continuing operations to the quarter was $16.2 million or $1.02 per share compared to $7.5 million or $0.48 per share reported in the fourth quarter of last year. A significant part of this increase in the quarter is associated with a net $1.8 million tax benefit from the quarter against the $16.5 million of income from continuing operations, which was the resulting benefit of an intercompany note receivable write off for tax purposes. Looking ahead to 2014 you should expect a more normalized tax rate of 38% to 40%. For the full year 2013 revenues from continuing operations were $292.3 million, up 5% over the full year 2012, and adjusted EBITDA increased 16% to $114.7 million with a margin of 39%. Looking at the balance sheet, as of December 31, we ended the quarter with cash and cash equivalents of $434.6 million. This includes $78 million of restricted cash being held in an indemnity escrow account as part of Alltel sale agreement. From these cash balances we still anticipate making state tax payments predominantly related to the gain of the Alltel sale of approximately $25 million to $30 million, along with approximately $10 million of remaining distributions to minority stockholders of that business, and I just add that that $25 million to $30 million of taxes is expected to be paid during the first quarter of this year. We ended the full-year 2013 with total capital expenditures from continuing operations of $69.3 million, of which approximately $34 million was incurred by our US wireless segment, US wireless wholesale business. And keeping in mind, a little less than half of that amount came from redeploying the proceeds from the Midwest sale last year. $12.4 million was incurred by our international telephony segment, $12.6 million at our US wireless segment as we continue the near completion of our fiber network build in the Northeast, and $5.5 million in our Island Wireless segment. We expect capital expenditures to be in a similar range in 2014 at between $65 million and $70 million with roughly half that amount to be allocated again to our domestic wholesale loan business. Some additional operating – operational data for the quarter. We ended the quarter with 640 base stations in our US wholesale wireless territories, up from 579 reported at the end of last quarter. Our international wireless subscribers totaled 325,100, and our US wireless segment business lines increased 62% from a year ago and 13% from last quarter, ending the quarter at approximately 119,700 access lines. Internationally fixed lines ended 2013 at approximately 155,000 access lines and DSL subscribers ended about 36,800, which is up 25% from a year ago. So, to sum up, our existing business continues to perform well throughout the year. We have a strong underutilized balance sheet that gives us significant resources to grow externally as we continue to find ways for additional efficiencies within the existing business and grow operations in 2014. And with that, operator, I'll turn it back to you for questions.
Operator: (Operator Instructions) And as the first question comes from Rick Prentiss from Raymond James. Please go ahead.
Rick Prentiss: Good morning, guys.
Justin Benincasa: Good morning.
Rick Prentiss: A couple questions. First, on the CapEx side, so about flat CapEx in 2014 versus 2013 with about half the CapEx for the Commnet US wireless wholesale business. I know prior years you had some undersea cable work, you had fiber work in the US that seemed like it's wrapping up, why wouldn't CapEx be coming down in 2014 in some of those other areas?
Justin Benincasa: In the other areas well, there's still some network – if you take some of the technology upgrades, right, LTE, et cetera in some of the island stuff to kind of stay on that curb, and then in Guyana, there's still opportunities such as GPON, et cetera, that we still have out there so there's still some opportunities to put CapEx to work down there.
Michael Prior: Plus there is the fiber network build in the US has still has not a considerable amount this year because of things we're doing at the end of the stimulus build, as well as laterals and things like that to maximize the value of what we've built. So that will become very opportunistic post- 2014, post really first half of 2014. But there's still a good piece of the CapEx is allocated to that area this year.
Rick Prentiss: And then Michael in your prepared remarks you talked about Commnet CapEx sizable for technology and capacity upgrades, we're still talking 3G technologies out in that area, not 4G LTE in the Commnet area?
Michael Prior: There is limited – there is a limited area where we are doing 4G, but you're right, it's by and large, it's 3G.
Rick Prentiss: Okay. And then, I think in the press release last night you spoke about, obviously 2013 was a nice year of EBITDA growth for the remaining businesses and that expect growth in 2014 versus 2013, but not as high. If we could maybe parse that out to look at the different segments, GTT, the integrated telephony one, it was surprisingly that it grew. I think even the one-time benefit or out of period benefit really counts within 2013, so we saw EBITDA growth at GTT. Is that something we should continue to expect or is it going to be a declining EBITDA there?
Michael Prior: I don't – we're not sure it would be declining but we certainly don't see growth in the short term, we do see growth potential in the longer-term. Partly it was 2012 had some higher expenses and we were able to manage those better in 2013. That was probably the most significant impact there. And there was some revenue growth in certain areas, particularly broadband revenue growth which helped. And then the other thing that makes it hard to predict in Guyana, is we have been talking with the government and the government has been – Parliament has been considering a bill to end, to change the telecom regulatory scheme in a way that would end our exclusivity in which we have in international and in local wireline, as we said in the past, a lot of that has been eroded by poor enforcement and other issues already. But, in the short term that could have a negative impact. I think longer-term getting a clear and transparent scheme if that's what we end up with will be beneficial.
Rick Prentiss: And then in the islands, 2013 was a very strong year, you mentioned getting scale, but that to get growth is going to require taking share and deploying mobile data. Just wondering what you're seeing in the islands area as far as what we should be thinking about on EBITDA line?
Michael Prior: Yes, I think that we really had a phenomenal year, particularly in Bermuda, in terms of really capturing the benefits of scale and working through issues of just operating efficiency. And so in terms of EBITDA growth it's really hard to capture that. Plus there's some new costs coming into Bermuda, new regulatory costs and other things that will eat up some of what otherwise would be improvements. So, I think it's a good market but would be – it's going to be hard to grow beyond flat and then we have some smaller markets that have – where we are continuing to grow subscribers relatively quickly and those are pretty small. So it takes a lot of movement to make a small movement on our EBITDA overall. And in Guyana, when we said international wireless, just to clarify the remarks, international wireless, which would include Guyana, Guyana is really a 2G, 2.5G market. And it's our belief that all those markets, markets anywhere, there will be significant demand for better mobile data and that's part of – there's been a long delay of the government in terms of releasing spectrum to deploy those services. So when that happens is anybody's guess.
Rick Prentiss: Okay, thanks.
Michael Prior: Sure.
Operator: Thank you. And our next comes from Barry McCarver from Stephens Inc. Please go ahead.
Barry McCarver: Good morning, guys. Thanks for taking my questions. I guess first back on the base stations here in the US, can you give us an idea of what type of returns you're seeing on some of the builds maybe you've done in, you did in 4Q or you expect to do here in 1Q?
Michael Prior: No, I don't think we can, first of all the returns vary, but we won't, I mean we don't build anything if we don't think we're going to see returns ahead of our cost of capital, and in some cases we're well ahead of it and in some cases we're not. But I think you can look at the cap that we've deployed over the last few years or even beyond that there, and we've generally same very reasonable returns for the capital.
Barry McCarver: And when you say significant opportunities to increase the base stations, accounting for the sale, is that somewhat equivalent to the build that you did in 2013 or do you think it could be higher than that?
Michael Prior: Yes, I think it's a similar level.
Justin Benincasa: Yes.
Barry McCarver: Okay. And then, in terms of I guess the bigger opportunities to put the balance sheet to use, could you at least tell us if you're looking more internationally or more domestically at opportunities here? Thanks.
Michael Prior: Sure. Yes, Barry, we're looking at both, we really continue to look at both and we – US and International, and in US we're even less likely to look at sort of traditional network situations that as I said in the call earlier compete with tier one operators, so we look at infrastructure and other ways to play in that market or unbuilt segments as we always have.
Barry McCarver: Okay, very good, thanks.
Michael Prior: Sure.
Operator: Thank you. (Operator Instructions) And our next question comes from Hamed Khorsand from BWS Financial. Please go ahead.
Hamed Khorsand: Just want to ask you as far as just the build out of the base stations goes, is there going to be a distribution based upon the weather and how you could take advantage of having more base stations during the summer months?
Michael Prior: Say that again, Hamed? I'm not sure I…
Justin Benincasa: Like how will that impact seasonality? Is that your…
Hamed Khorsand: Yes, that's the path I'm going with, in the past you've used CapEx in the colder months so you could get it – have the base stations up and going by the summer months, so that's basically what I'm asking.
Michael Prior: Well, yes, I mean in some areas we do prioritize areas by traffic flows often where we can. Sometimes we just can't do that. It depends on our customers' needs and when we're trying to deliver by for them as well, so I'm not sure that's a significant – that has a significant impact. But once we decide to build, I will say this, once we decide to build an area we build it as fast as we can.
Justin Benincasa: Right. And it starts generating traffic as soon as we light it.
Hamed Khorsand: Okay. Does your CapEx take into consideration any potential need for spectrum or are these areas that you're going into you already have some footprint?
Michael Prior: There is no significant spectrum spend in that number so we kind of consider spectrum as more strategic and it's hard to predict as well. But, it is possible we'd buy some spectrum if the right spectrum is available in the right place.
Hamed Khorsand: Okay. All right and change of topic to GTT, there was a story about the government selling their 20% stake?
Michael Prior: Yes.
Hamed Khorsand: And, why didn't you guys decide to sell the entire stake to the Chinese company?
Michael Prior: Well your – I'm not going to comment on that in detail because it's just, I just can't.
Hamed Khorsand: Okay.
Michael Prior: But we still like our assets we have there, I'll say that.
Hamed Khorsand: Okay, but do you think that their sale of their portion just really gives them a feel to seek removing the monopoly at law?
Michael Prior: No I don't think it's changed. I think the government has been trying – talking about doing that for 13, 14 years, and I don't think it's driven by that whatsoever, I don't think it affected by that.
Hamed Khorsand: Okay, that's it for me. Thank you.
Michael Prior: Yes, thank you.
Operator: Thank you. And I'm not showing any further questions at this time. I would now like to turn the call back to Justin Benincasa for any further remarks.
Justin Benincasa: No further remarks, operator. Thank you, everyone and we'll talk to you shortly. Take care.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude today's program. You may all disconnect. Everyone, have a great day. -